Operator: Good morning. My name is Felicia, and I will be your conference operator today. At this time, I would like to welcome everyone to the Brandywine Realty Trust First Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the conference over to Mr. Jerry Sweeney, President and CEO. Mr. Sweeney, please begin.
Jerry Sweeney - President and Chief Executive Officer: Felicia, thank you very much. Good morning, everyone and thank you all for participating in our first quarter earnings call. On today’s call with me are George Johnstone, our Senior Vice President of Operations; Gabe Mainardi, our Vice President and Chief Accounting Officer; Howard Sipzner, our Executive Vice President and Chief Financial Officer; and Tom Wirth, our Executive Vice President of Portfolio Management and Investments. Prior to beginning, I would like to remind everyone that certain information discussed during our call may constitute forward-looking statements within the meaning of the federal securities laws. Although we believe the estimates reflected in these statements are based on reasonable assumptions we cannot give assurance that the anticipated results will be achieved. For further information on factors that could impact our anticipated results, please reference our press release as well as our most recent annual and quarterly reports filed with the SEC. So, to start off our prepared comments, as is our normal practice, I will provide an overview on three key business plan components; of operations, balance sheet and investments as well as provide some color on recent transactional activity. George and Howard will then discuss our operating and financial results, and certainly Gabe and Tom are here to answer any questions on their areas. We have had a very active and productive first quarter. Operational performance was strong and the 2013 plan is on target. Our recent equity offering strengthened our balance sheet and created financial capacity, and our investment objectives are also very much on track. Macroeconomic concerns remained at the forefront of tenant decision-making processes, but during the quarter, we continue to benefit from an ongoing flight-to-quality landlords and product. In looking at specific operating performance benchmarks, we had a strong leasing quarter activity through the portfolio average 268,000 square feet per week. And our overall pipeline that is traffic that has resulted in us issuing a proposal stands at 2.9 million square feet, up slightly from our February call. Positive pricing dynamics dominates several of our key markets with continued strong performance in Philadelphia’s CBD and University City, the Crescent markets of the Pennsylvania suburbs in Austin, Texas. Just as importantly, we saw higher levels of activity to our Richmond, Virginia, New Jersey, and Metro DC portfolios, and George will provide additional color on that traffic. Our mark-to-market rental rate spreads were very strong and we had our best performance since 2007. During the quarter, we experienced an 11% increase on our renewal rental rates, a 5.7% increase on new lease expansion rental rates, both of those on a GAAP basis. And on a cash basis, we had a 3.4% combined growth rate. Capital costs remained moderate. We averaged $2.21 per square foot per lease year for the first quarter, very much in line with our business plans, with a resultant CAD payout ratio of 65.2%, our strongest in the past 11 quarters. We also had positive same-store growth rate on a GAAP basis of 3.4% and 6.3% on a cash basis continuing to build on the leasing progress from prior quarters. Looking ahead for 2013, we had 1.5 million square feet program to renew. We are already 80% executed on that renewal square footage and 93% on the spec revenue target associated with renewals. Looking further ahead to 2014 and ‘15, we have continued to reduce our remaining lease expirations, where we now are at 1.9 million square feet or only a 5% role in 2014 and 2.5 million square feet or an 8.5% roll in 2015. We have lease proposal there for much of this remaining roll over and continue to make significant progress. The only cloud on our strong operational performance was the anticipated impact of the Intel move out in Austin. As a result of that move out, our retention rate during the quarter was 52.7% with negative absorption of about 120,000 square feet. As we previously discussed we have already released about 90% of Intel’s vacancy with occupancy scheduled for the next several quarters. We remain confident we will be 90% occupied and 92% leased by yearend 13. And as noted in the press release, we are currently 87.6% and 90.8% pre-leased and over 300 basis points positive leasing spread reflecting strong leasing momentum. In looking our balance sheet, subsequent to quarter end we took advantage of favorable market conditions and raised approximately $182 million of net proceeds through the offering of 12.65 million shares. This unplanned equity issuance accelerated our deleveraging program, improved our credit metrics and provided greater liquidity and financial flexibility. As a result of this offering, we are currently carrying cash balances of approximately $200 million, those cash balances are currently invested in depository accounts with numerous banks, and our current financial plan with Howard will elaborate on contemplates maintaining these cash balances and does not reflect the impact of any accelerated debt pay downs or liability management efforts. We will of course continue to evaluate all of our options. From a broader standpoint, reducing leverage levels below 40% and achieving a 6.5 times EBITDA by year end 2014 is a core objective. On a pro forma basis, this recent equity offering contributed greatly to that goal achievement reducing our net debt to gross assets to approximately 40.7% and our net debt to EBITDA to 6.7 times. Longer term, the goal is to continue to run the company to mid-30s leverage and an EBITDA multiple below six times. We are also very much on track with that objective. Continued occupancy gains, and a corresponding net operating income growth combined with our investment program will put us in a great position to achieve these targets. So, from a liquidity standpoint, the company has significant financial capacity and tremendous flexibility. Our next maturity is not until November of 2014, so to wrap up the balance sheet discussion, our balance sheet progress continued and our objectives remain very much on track. On the investment side, like the balance sheet and the operating components of our business plan, the investment program is progressing on schedule. First quarter activity through the previously announced Princeton Pike sale and the sale of our joint venture interest in two Wilmington properties created an achievement of $139 million of sales or 63% of our $221 million disposition target. We also had a number of other small investment activities were outlined in our press release including the final installment of our investment into Thomas Property joint venture at Commerce Square and the continued investment in our redevelopment project at the West Germantown Pike. We have also commenced development of an 18,000 square foot amenity based retail center as part of our Radnor Corporate Center Complex. That objective is to provide additional services and restaurant options to the existing tenant base. That development is projected to cost $7.5 million and we will deliver it by year end 2013. It’s currently two-thirds pre-leased. We expect stabilization in the third quarter of 2014 at an 11% return on cost. As we discussed on previous calls, we are also proceeding with our Plymouth Meeting, multi-family 50-50 joint venture with Toll Brothers. We expect to commence construction of that 398 unit complex later in the second quarter, with the completion target for the fourth quarter of 2015. The Grove with Cira South, our joint venture with Campus Crest Communities and Harrison Street Real Estate Capital is under construction. That is a 33 storey, 850 bed housing project in the University City submarket of Philadelphia, completion is targeted for that project in the third quarter of 2014. And also as identified on page 32 of our supplemental package, several other elements of our land management program are progressing on track with the objective of achieving our overall land monetization goals. Accelerating growth through an active investment strategy also remains a core objective. Our focus remains on increasing our urban and town center concentrations, the sale of Princeton Pike evidenced that shift as it had been widely reported more capital sources are aggressively focused on our office space. That appetite is clearly being driven by emerging visibility on the economy, a favorable rate environment and relative yield comparisons. Our business plan contemplates an additional $82 million of sales occurring in the second half of this year at a cap rate of 8% to achieve our $221 million target. As is our practice we have a number of projects on the market on a price discovery basis. These projects are in Pennsylvania, New Jersey, California and Texas. We are currently in the price discovery process on our wholly owned portfolio in Austin as has been reported in recent press publications. We like Austin. We have been successful there and have a very strong operating platform. We also believe the market is right for accelerated ownership consolidation. So, one of the avenues we are pursuing is forming a co-investment growth vehicle that will enable us to both harvest current value and provide additional capital to expand our market platform. Since initiating this effort several weeks ago, we have received very strong institutional interest. We anticipate completing this marketing process over the next 60 days and obtaining more visibility on both pricing and structure. While our 2013 financial plan does not incorporate any acquisitions, we are continuing to source numerous potential acquisition opportunities. We currently have several transactions in the near term queue. For investment activity and Tom can provide additional color in the Q&A. We have seen an increased number of properties coming on the market in several of our core markets during the last quarter. So, in summary, the first quarter was very strong, all of our first quarter business goals and objectives have been met and the plan for the balance of the year is absolutely on schedule. We continue to be encouraged by the high level leasing activity we are seeing through all of our submarkets through our portfolio on balance. And at this point George will provide an overview of our first quarter operational performance and he will then turn over to Howard for a review of our financial activity. George?
George Johnstone - Senior Vice President, Operations: Thank you, Jerry. From an overall standpoint we continue to see recovery occurring in our markets. All of our markets experienced higher levels of year-over-year leasing activity and absorption for the quarter was up in all markets with the exception of Northern Virginia. We are outperforming market vacancy in all of the Northern Virginia where trailed the market by 100 basis points, but even there we have closed that gap by 1100 basis points since this time last year. Turning to our portfolio specifically, we continue to see good levels of leasing activity from space inspections to pipeline, to lease executions. In terms of lease executions during the quarter we signed 860,000 square feet of leases including 350,000 square feet of new and expansion leases and 510,000 square feet of renewals. Tenant decision making remains relatively unchanged as leases executed in the first quarter averaged 96 days from initial inquiry to lease execution as compared to 94 days in the fourth quarter of 2012 and 98 days in the third quarter of 2012. Lease commencements totaled 692,000 square feet including 262,000 square feet of new leases, 373,000 square feet of renewal leases and 570,000 square feet of tenant expansions. During the quarter we also had 322,000 square feet of tenants move out upon expiration and 122,000 square feet of early terminations. Most notably our percentage leased has increased 50 basis points from year end to 90.8%. We have 729,000 square feet of executed leases on space that was vacant at quarter end. We are encouraged by the lease levels we have achieved in Richmond at 90.3%, New Jersey, Delaware at 88.3% and Metro DC at 85.5%. We have maintained all of our original business plan operating metrics and remain confident in our ability to execute. We have achieved $37.4 million or 85% of our $43.9 million spec revenue target. This compares to 66% achieved last quarter and 80% achieved this time last year. Of note, we are 85% achieved in Metro DC versus 61% a year ago. And Richmond is 69% achieved versus 57% this time last year. Occupancy will increase to 90% by year end 2013 from 1.5 million square feet of renewal leases, 1.9 million square feet of new and expansion leases offset by 324,000 square feet of known and anticipated early terminations. A new occupancy roll forward table has been added to page 29 of our supplemental package. We have already executed 1.2 million square feet of our 2013 renewals. Of the remaining 306,000 square feet of renewals in the plan, the single largest lease is 24,000 square feet. Finally, a few comments on some of our markets. We remain pleased with the level of activity in our Met DC region. Our regional traffic was up quarter-over-quarter and year-over-year. The regional pipeline totaled 615,000 square feet, including a 145,000 square feet in active lease negotiations. This pipeline includes three prospects in excess of 50,000 square feet. During the first quarter, our Met DC operation posted positive absorption of 31,000 square feet. Leasing spreads were 7.2% on a GAAP basis and negative 4.6% on a cash basis. Leasing capital was $3.03 per square foot per year, or 9.8% of rents in line with our anticipated range for the Met DC region and improved from 2012 levels. Now, shifting to Richmond, activity levels have increased significantly during the quarter. We had 57 tours inspect 420,000 square feet. The regional pipeline totals 347,000 square feet and includes four prospects over 25,000 square feet. Successful conversion of this pipeline will also help solve the known 85,000 square foot move out of travelers in January of 2014. To conclude, we are pleased with the level of achievement to-date on the business plan and remain encouraged by the level of activity in our various markets, the quality of our inventory and the ability of our regional teams to execute. At this point, I will turn it over to Howard for the financial review.
Howard Sipzner - Executive Vice President and Chief Financial Officer: Thank you, George, and thank you Jerry. For the first quarter of 2013, core FFO totaled $51.7 million, or $0.35 per diluted share. And we beat the $0.34 analyst consensus by $0.01. Our FFO payout ratio is 42.9% on the $0.15 distribution we paid in January 2013. Core FFO provides a better sense of our FFO run-rate by eliminating transactional and capital market activities as noted in our supplemental package on page 14. Notably, for the first quarter of 2013, core FFO is essentially the same as NAREIT FFO. I would like to make a couple of additional observations regarding our first quarter results. Our first quarter FFO is very high quality with termination revenue, other income, management fees, interest income, and aggregate JV activity totaling just $6.3 million gross, or $4.9 million net after associated expenses in line with our 2013 expectation for these categories. Our first quarter NOI and EBITDA margins at 60.2% and 64.2% respectively remain at or near their highest levels for these metrics, all the way back to early 2009. Same-store NOI growth rates for the first quarter were 3.4% on a GAAP basis and 6.3% on a cash basis, both excluding termination fees and other income items. We have now had seven consecutive positive quarters for the GAAP metric and four for the cash metric and are maintaining our 2013 targets for same-store NOI growth at 3% to 5% GAAP and 4% to 6% cash. First quarter interest expense of $30.9 million was down $2.3 million versus the fourth quarter and down $3.2 million versus the first quarter a year ago, both reflecting the impact of our late fourth quarter 2012 capital market and liability management activities. And with $13.3 million of revenue maintaining or recurring capital expenditures in the first quarter, we achieved a very strong $0.23 of cash available for distribution or CAD per diluted share and a 65.2% associated payout ratio. With respect to balance sheet and financial metrics, I would like to emphasize the following points, our debt to GAV of 44.1%; our debt to total market capitalization of 50.7%; and our 7.2 times debt to EBITDA ratios, all improved sequentially from the fourth quarter of 2012. And as Jerry noted pro forma for the net proceeds from the April equity offering, these improve even further to 40.7% for GAV, 46.7% for total market capitalization, and 6.7 times for debt to EBITDA. We have just $100 million of floating rate debt, no outstanding balance on our $600 million unsecured revolving line of credit over $200 million of cash reflecting the closing and the net proceeds of the April equity offering, and no maturities until November 2014. In fact, this maturity is effectively covered by our current and projected cash balances. Now, turning to 2013 FFO guidance, we are revising our 2013 FFO per share guidance from $1.41 to $1.48 range now to be at a range of a $1.35 to $1.42. As the equity offering is effectively $0.08 dilutive for 2013, the revised guidance actually represents a $0.02 increase at the comparable midpoint due to continued execution of our 2013 business plan. Excluding the historic tax credit income of approximately $0.08 per share that we will recognize in third quarter of this year, our quarterly FFO for the remainder of 2013 should now be in the range of $0.31 to $0.33 per diluted share in each of the quarters. In addition to the assumptions detailed on pages 29 to 30 of our supplemental package, please note the following. Gross other income in our plan remains unchanged at $20 million to $25 million, or $14 million to $19 million net for a basket of other items such as termination revenues, other income, management revenues, lets associated management expenses, if net, interest income, JV income the preferred return on our Commerce Square investment and less the 31, 41 Fairview financing obligation expense. Our 2013 G&A assumption also remains unchanged at $24 million to $25 million. We are now showing interest expense dropping in 2013 due to various capital market activities as outlined. And it should remain in the range of $122 million to $125 million for the full year. We expect the preferred distributions on our Series E shares to be $6.9 million as we have now eliminated all the other prior preferred share series. Besides the completed Princeton Pike sale at a $121 million and our $17.4 million share of the One/Three Christina has completed $87 million sale. We project additional sales of about $83 million, or $221 million total with the remaining sales at an average cap rate of about 8% and to be somewhat back ended resulting in about $1.5 million to $2 million impact or loss of NOI throughout the balance of 2013. Tom can talk more about the sales and transaction market in his comments. As I mentioned, the historic tax credit income of $11.9 million or approximately $0.08 per share will be recognized in the third quarter of 2013. And it’s generally offset by about $0.01 per share of incremental interest expense that occurs throughout 2013. The historic tax credit revenue is essentially non-cash is excluded from our CAD calculations, it represents the third occurrence of each 20% slice of the net proceeds realized in connection with the 2008 historic tax credit financing on the post office project and is recognized in the third quarter of each year from 2011 through 2015. And lastly, we expect no issuance under our continuous equity program, and we are currently assuming no additional note buyback or capital market activities. We are now modeling $155.8 million weighted average shares for FFO calculations in 2013 versus our prior assumption of 146.7 million shares. Our FFO payout ratio is projected at 43.3% representing a $0.60 distribution on the midpoint of our new $1.35 to $1.42 range. We are projecting CAD to be in the range of $0.71 to $0.79 per diluted share versus the prior assumption of $0.79 to $0.87 reflecting now $45 million to $55 million of additional revenue maintaining CapEx. Our plan provides between $17 million and $30 million of free cash flow after dividends and recurring capital expenditures and the adjustment in CAD reflects the additional shares from our equity issuance. Our 2013 capital plan is very clean with total 2013 remaining uses of $243 million. We see $8 million from mortgage amortization. We are programming a total of $156 million of investment activity incorporating $50 million of revenue maintaining CapEx at the midpoint of our range, $66 million of remaining revenue creating CapEx and this category includes lease up of previously vacant space and new project lease up such as completing the Three Logan Square project plus $40 million for a variety of other capital projects such as completing the West Germantown project and of course the Campus Crest and Harrison Street joint venture investments. We already spent $2 million earlier in April for a small 2015 note buyback. And lastly we see $77 million of aggregate dividends consisting of $72 million of common share distributions and $5 million for preferred shares. The April distributions have of course already funded. On the source side we actually have $381 million of sources or $138 million more than we need and these are $182 million already realized from the April equity issuance, $117 million of cash flow before financings, investments and dividends and after interest payments. $82 million of additional sales proceeds reflecting our $221 million target and the sales completed to-date. $138 million of cash surplus will augment our $48 million cash balance at March 31, 2013, so that we now expect to end 2013 with a project cash balance of $186 million assuming no liability management at this time. And lastly for accounts receivable activity in the first quarter everything is on a regular and predictable basis with no major changes in any of our assumptions. And with that I will turn it back to Jerry for some additional comments.
Jerry Sweeney - President and Chief Executive Officer: Thank you, Howard. That really wraps up our prepared comments. Look as we view, we are very pleased with first quarter results. We certainly have more work to do for the balance of the year and certainly are planning ahead for 2014 and ‘15. But we believe that the success we’ve had in the past will continue as we look at our business plan execution for the balance of 2013 and as George and Howard touched on to may committed to meeting all of our operational goals as well as our balance sheet management and investment as well as this continued shift to urban and town center markets. With that we would be delighted to open up the floor for questions. As we always do, we ask that in the interest of the time you limit yourself to one question and a follow-up. Felicia?
Operator: (Operator Instructions) And your first question comes from the line of Brendan Maiorana with Wells Fargo Advisors.
Brendan Maiorana - Wells Fargo Advisors: Thanks. Good morning.
Jerry Sweeney: Good morning.
Brendan Maiorana - Wells Fargo Advisors: So, Jerry and Tom the assets on market Pennsylvania, New Jersey, California, Texas, can you give us a sense in sort of like broad dollars roughly how much that is. And then can you break it out between assets that you think are in just sort of broad dollar terms non-strategic, non-long-term holds versus assets that I think as you are sort of indicating with Austin that you want to maintain from a longer term presence via JV, but maybe just pricing now is compelling, if that’s what you are bringing it to market?
Jerry Sweeney: Brendan, it’s Jerry, good morning. The Austin portfolio is the bulk of what we have in the market in terms of dollars. And there have published reports on that in a range from the high $200 million to low $300 million range. So, we will see how that process plays its way through. And the rest of the assets are small portfolios, two or three building complexes, single building complexes in both Pennsylvania, Georgia, and Delaware. And the total aggregate value of those is probably about $100 million to $125 million. But one of the things that we always do, we typically put a number of projects in the market either based upon the high level or reverse inquires or a broad based marketing effort to really test and see where optimal pricing comes in based upon what we think the NPV and the IRR of an internal hold is on that asset. So, we are very pleased I think generally with the level of activity we are seeing across the board on our offerings. As I have mentioned in my comments, we are clearly seeing increasing capital flows into the suburban office space from both midsize and large institutions. I think that’s continuing to increase our level of encouragement on what we are seeing on some of these offerings. So, yeah every quarter we always, it’s been more assets into the marketplace. I would say that of the $100 million and $125 million that we have in Pennsylvania, New Jersey and California they are nearly non-core assets, and three were looking for straight disposition.
Brendan Maiorana - Wells Fargo Advisors: Yeah I mean so do you think that as we have sort of talked in the past about the non-core portion of the portfolio, do you think that you accelerate the dispositions of those over the next several quarters because there is more capital interest and if that’s the case, you have got a lot of cash, you are expecting to end the year with $185 million to $190 million of cash, what were the opportunities for reinvestment?
Jerry Sweeney: Okay, Tom and I will talk to it. Tom I will take the first for me. Look I think in terms of on the dispositions side, we have made the decision of being fairly pragmatic and patient on liquidating what we deem to be non-core holdings. We have continually touched the market on small to larger size portfolios in terms of testing the market for price acceptance. I think the great thing we have seen in the last couple of quarters and really accelerated in the first quarter of this year is an increasing number of capital sources coming to the market, continued expectation of a benign rate environment with significant reemergence of the CMBS market, which is a higher loan to value and effectively priced. And more importantly, we are seeing more visibility on the leasing activity front, at an asset level. So, the combination of continued progress on the operating front, with those capital flows I think really does present a pretty good opportunity for us to continue to move more of these profits in the market to test where we think things may become – more pricing may come out. So, our goal for this year is pretty well set in the 221, that doesn’t mean that we will not exceed that, but we are reluctant to give specific targets beyond that only because to a great degree our ability to achieve a higher sales target is not necessarily a functional of how much we put in the market, but what we get back in the terms of acceptable pricing. But I do think that the convergence of all those factors does create a pretty positive landscape for us to be moving more of these non-core holdings into the market sooner rather than later. And then Tom maybe you can give some color on where we are seeing some acquisition opportunities.
Tom Wirth: Sure, Brendan as we look at the markets, looking at the Philadelphia CVD, it’s been a slow but steady market. There has been several transactions brought to market recently and there has been a couple recently closed at good pricing, so we see some opportunities there. The Philadelphia suburbs have improved. Office properties have been brought to the market. We feel the market is still slow, but it’s recovering and it’s probably a little better or more buoyant than last year. As we look at Metro DC that’s one of the areas we do see a little more activity beginning of the year we said it was very slow on our last call and that not much was coming to market. Since that time, there has been an increased number of buildings on the markets and developments have also come to the market. And inside the beltway is pretty much where we are seeing activity. And again two recent sales have been announced inside the beltway at some very strong pricing. So, with that we would expect in addition to what we are seeing from the market now, we expect to see some more acquisitions come to market as we look out. We continued to see that pricing well on a sort of a – we look at it on an IRR basis but on the cap rate basis and on an IRR basis pricing is strong. I think we have seen more conservative outlook on rate growth in the DC area. So, pricing on a relative basis is probably less than where it was last year. As rent projections have come in we continue to look investments with all states we have targeted some very keen submarkets that we are looking and we are beginning to see some activity pick up there. Another submarket is Austin, we see a lot of activity continue to grow, technology oriented companies, the demographics are very strong, couple of new developments are commencing, so there is some potential new office space coming on market, but there continues to be very strong rent growth projected out and those continues to be in that absorption in that market. And as a result we have seen a couple of transactions closed both at the CBD and in the south west totaling over $400 million. So, there is definitely some activity and transactions occurring there. Richmond with the exception of two downtown properties or opportunities one is the property, one is the development. There is not much on the market there. We don’t know what will change as the year goes out. We have looked to be net seller some of our non-core pieces there. And in Central and South Jersey they remain relatively slow, but we have seen some activity picked up in our Delaware joined venture is an example of where we are able to sell to a user and get that transaction done. And we have sold about $139 million, but we do see some opportunities, our pipeline of investments has grown both on marketed transactions and off marketed transaction.
Brendan Maiorana - Wells Fargo Advisors: Great and thank you.
Operator: Your next question comes from the line of George Auerbach with ISI Group.
George Auerbach - ISI Group: Great, thanks. Good morning guys. Jerry how many square footage leasing for the year? Do you think renewals are well ahead of schedule, the new leasing sort of spread 50-50 what’s been executed and what’s remaining. Can you maybe give us some color on which markets should have left in the two be executed newly leasing?
Jerry Sweeney: Sure George, we are leased for about 200,000 square feet of 997,000 square feet, anticipated to come out of our Metro DC region. We got just shy of 100,000 square feet kind of coming out of New Jersey, Delaware. And then really the majority of its still contemplated to come out of both Pennsylvania suburbs and some additional square footage in Philadelphia CBD. So, again I think we feel confident based on the pipeline that even though we are only at kind of 50% mark on square footage, but there is still enough pipeline there to convert our conversion rates of consistently kind of been in that 40% range. And we do think that there is actually maybe some opportunities for some regions to pick up for others if need be.
George Auerbach - ISI Group: Great, that’s helpful and just a follow-up. How shall I read this table, the targeted revenue for the year is $44 million and the targeted square footage of leasing is 3.5 million, that’s about $12 a foot is that sort of increment revenue that you are hoping to pick up per a foot or is that total revenue figure?
Jerry Sweeney: I mean it’s all based on I mean the square footage is the total square footage though the revenue contribution obviously is dependent on what month it commences, so 10,000 square feet commencing in December is only going to generate one month of income through that.
Tom Wirth: Thanks, George it’s a pro rata of revenue stream based upon the timing of actual occupancy not in average rental rate achieved on the tenancy.
Jerry Sweeney: Yeah I mean I think the pages in the supplemental that are more indicative of the rents we are currently getting would be more on page 25 of the supplemental and then for the leases that are already in the portfolio you will do get a sense of that on pages 26 and 27.
George Auerbach - ISI Group: Okay. Thank you.
Jerry Sweeney: You’re welcome. Thank you.
Operator: Your next question comes from the line of Rich Anderson with BMO Capital Markets.
Rich Anderson - BMO Capital Markets: Good morning everyone. So, may be if our like just over, under what could happen for the rest of the year? Is this the reasonable outcome, where you maybe you beat the disposition number of $82 million for the rest of the year meaning that maybe a little bit more dilutive, but you beat also on the same-store basis, because you had a good quarter this year, and the net of it is no impact of the prevailing guidance, do you think that, that’s maybe a reasonable way that this year could unfold for you?
Howard Sipzner: Well, Rich, it’s Howard. I think you laid out two possible scenarios, but I think the third ingredient there is that if we exceed the disposition target, there is a reasonable expectation that we will put some of that money to work in properties that Tom spoke of earlier. So, we think more about that disposition figure as a net number, it maybe reflective of no acquisitions, and there maybe a higher level of dispositions and some level of underlying acquisition. So, think about it as a net number and you don’t generally expect it to then jump one way or the other.
Rich Anderson - BMO Capital Markets: Okay, that’s very helpful. Thanks. And then on the Austin discussion point, can you just kind of frame your thought process there a little bit better for me, you are looking at a joint venture scenario with what you have and yet you are also in the market potentially looking for assets to buy. So, what is it about, is it asset specific issue that you want to monetize, and yet you like the market? Can you just kind of frame the strategy a little bit more clearly Austin for me?
Jerry Sweeney: Sure, be happy to. It’s always a challenge when the fresh reports get out and they are not entirely on point, and they dovetail with the market, but here are our thoughts on Austin. It’s clearly a solid market and a very strong performer for us, that is great demand drivers and that is one of the top job growth markets in the country. We have been excellent on the ground team that has worked diligently and produced great results through a real cyclical downturn over the last four years. We are in a number one ownership position in that marketplace in terms of square footage in the suburban marketplace. It’s also a very cyclical market as evidenced by its performance over the last 15 years. Rents have increased dramatically in the last 12 to 18 months clearly been a strong performer. Lot of that growth is still coming out of the shift east on the technology sector, which is always very cyclical, but we think Austin has a lot to offer. And our performance there, I think reflects our ability to accomplish results through both our product quality and our management team. The market ownership standpoint though is extraordinarily fragmented. I mean, after Thomas Properties dominant position downtown, our position on the suburban counties, the next largest institution is or the next largest onerous institution that controls much less than half of our stake. So, after that the ownership is incredibly fragmented. As we have been bidding on properties and certainly as evidenced by our acquisition late last year of two buildings at Lantana, it’s become very clear that values have accelerated dramatically. Cap rates have compressed. The bid list for a lot of assets was amazingly institutional driven. Lot of large institutions looking to get a foothold in Austin, and their inability to be successful in a specific trade was not a result of their lack of desire to be in the market, but more driven by their lack of confidence in being able to create a sizable platform in the market. Brandywine has a great management team. We had a great market position with a very good performing portfolio as well as a million square foot portfolio on a joint venture based with IBM. So, our approach has been to basically put the portfolio, now that we solved all the Intel rollover on the market, test the market for pricing, see if we can create a co-investment vehicle similar to what we created with Allstate in Washington DC. It’s a very good risk adjusted way for us to expand our market platform, take advantage of the current compression of cap rates, hopefully harvest some significant value, but more importantly create a very good co-investment platform going forward with promote structure or good management team, expansion, etcetera. And see if we get some portfolio of premium pricing. So, there is no assurance that anything will happen over the structural dig, but the objectives are really to optimize current value, see where that comes in from a pricing standpoint, obtain growth capital and ultimately through the combination of those two items to significantly expand our marketing platform. And we will know in the next 60 days how successful that effort is.
Rich Anderson - BMO Capital Markets: I guess, it is done the other side also a buyer in the market, I mean, how are you finding deals that pencil for you on the other side of the table?
Jerry Sweeney: Well, look I mean certainly we have looked at everything that has come on the marketplace. And I think one of the drivers of our decision to add the market on our portfolio was influenced by what we are seeing on the buy side that as I indicated cap rate compressions have been fairly dramatic in the last several quarters. Rental rates continue to rise. Rental rates in some submarkets are approaching replacement cost rents. So, in looking at where pricing has gone some of the demand drivers in the market, the bid list on properties, it all kind of created the picture where we thought it was worthwhile to test the market on what the portfolio premium, if any we could achieve on our asset base.
Rich Anderson - BMO Capital Markets: Okay. And then if I could just one quick one was that retention of 52 expected and also was the negative net absorption expected for the quarter?
Jerry Sweeney: Yes, we knew we started rolling out.
Rich Anderson - BMO Capital Markets: Okay.
Jerry Sweeney: So, those numbers were exactly in line with our plan.
Rich Anderson - BMO Capital Markets: Okay, that’s right. Okay, thank you.
Operator: And our next question comes from the Josh Attie with Citi.
Josh Attie - Citi: Thanks. Good morning. Just to follow-up on Brendan’s question on use of capital, when you think about your $200 million of cash and also the money that you could get coming in from asset sales, do you think there is a greater probability that you used that to tender for some higher coupon bonds early or are you more inclined to put that money to work through acquisition?
Jerry Sweeney: Well, look, I mean, we are keeping all of our options right now, between Tom’s efforts and Howard’s effort, they are spending a lot of time accessing their various points in the market whether it’s on the debt side or the acquisition side. And my guess is we will probably do a combination of both things. I mean, we do have the objective of continued strength in the balance sheet. Clearly, the current rate environment today and our experience in the fourth quarter on tendering for bonds is that it’s a good strategy, but as rates have continued to compress asset spreads. It gets to be an increasingly tough mathematical exercise. So, we have several avenues. One is to simply retain the cash and use that to deploy into direct acquisitions. We can pay down some of the bank term loans or pieces thereof. We could look at make holes on near-term bonds or tender for bonds. And certainly as the acquisition pipeline continues to build, that will be a key element in our thinking as well.
Josh Attie - Citi: Okay, thanks. And how should we think about the progression of occupancy over the remainder of the year, you ended the quarter little under 88%, so yes, 200 basis points of growth the next three quarter. It sounds like you have a lot of leases of having commenced, but you probably also have some vacates, what should we expect in terms of the progression of those commencements in occupancy growth over the next three quarters? Is it going to be relatively even or are there loans we should be aware of?
Jerry Sweeney: Yeah, I think then in the – what we have outlined before is we would expect a lot of that actual occupancy growth to occur in the second half of the year. I think as we are looking at the run rate now, Josh, we have the things we are focused on it feels very good the first quarter is this increasing spread between our leasing and our occupancy levels. And really our leasing targets really are paramount, that’s what creates the forward momentum on all the operating metrics. But we would expect that next quarter occupancy will be very much in the same range where we are now to the accelerating beyond that in the third and fourth quarter. And certainly we’re very happy where we stand today at 90.8% lease with a big pipeline of deals, a lot of those deals were forward commencements.
Josh Attie - Citi: And then also when you look at the leasing pipeline it sounds like the spread should get better because the spread – cash spread guidance is 4 to 6, you were 3.5 in the first quarter so, should we expect that the spreads are also going to improve the next few quarters.
Jerry Sweeney: Yeah, look – I think they will continue to kind to be within that bandwidth some quarters, I think just depending on the timing of the deal, the market of the deal, but I think overall again another reason why we held both the same store NOI growth and the mark-to-market target is everything is progressing as expected.
Josh Attie - Citi: Okay, thanks. And then just lastly, could you – could you may be tell us the cap rate on the Delaware office sale?
Jerry Sweeney: Yeah, I think the cap rate on the Delaware office sale is about $140 of square foot. The cap rate is we almost look as almost an irrelevant consideration only from this standpoint. The tenant had occupied pretty much the entire complex had near-term lease expirations. So far, it’s really a binary outcome. The rental rate they were paying was well above existing market by a significant factor. So, I think how we are touched on the income that we will lose is part of the sale. But I think from our standpoint being a 20% owner and we contribute this profit to a venture a number of years ago when harvest to the great amount of value with that point and our venture with Macquarie went through two other success of partners and I think our partners felt that now was a good time to sell as opposed to facing that binary outcome. We are good partners and we felt that was a sage decision and we went up selling at the tenant that really had an objective of only in the real-estate as opposed to leasing it.
Josh Attie - Citi: Okay. And I mean could you tell us just you’re recognizing that the current income would go down. Can you tell us just what the cap rate was on the current level of income?
Jerry Sweeney: It was in the low double-digits.
Josh Attie - Citi: Okay, okay, thank you very much.
Operator: And your next question comes from the line of Jordan Sadler with KeyBanc.
Jordan Sadler - KeyBanc: Thanks, good morning. Just wanted to dig in a little bit on the acquisition front to may be heard a little bit about the nature of sort of what would be targeting in terms of acquisitions. Would it be most of much of the investment we are seeing so far has been opportunistic or development oriented? Should we expect to see more of that or are they also core type opportunities.
Jerry Sweeney: Great question. The – and again (indiscernible) see I think when we look at the existing pipeline today, it’s really it’s a combination of those two times and I think the – we do like value add acquisitions where we can bring some leasing and some construction and marketing skills to there. We do think they create the best value per square foot and that’s growth opportunities particularly where they augment existing strong submarket position. So, we are essentially buying these properties preventing other competitor providing expansion of relocation opportunities for our existing tenant base and both the building that we acquire and our existing stock and creating a better platform for us very similar we do with 660 Germantown Pike and what we’ve done with we are plan to do with the 1900 markets we are building in Philadelphia. So, that’s a key piece of what we are looking at. The second element really is going to when we look at our expansion into the overall inside the Beltway DC marketplace that’s really a venture with all state the target levels there tend to be more core, core plus versus true value add to the extent that we saw real value add opportunities we certainly pursue those, to the extent to how they made good lines to our existing portfolio and provide a good forward growth. But in DC that the primary focus has been on core and core plus, those are the New Jersey market, the Delaware market we really view those as more net selling positions over the next several years for a variety reasons including what we think the inherent demand drivers are. And we shift down to Austin we have looked at both land acquisitions there, value add acquisitions as well as core and core plus. So, it’s across the board there because the objective there is given our existing market platform and our objective to expand that, we are looking at various submarkets to see how we can augment our existing tenant flow.
Jordan Sadler - KeyBanc: What do you think cap rates look like for core, core plus in the Beltway DC area if there is?
Jerry Sweeney: Well, I mean cap rate again it depends on the building and where it is in its process. I think we look more of it on an IRR basis. And as we look at those core, core plus we are trying to look it could be IRRs as we look at a projected basis over five year hold or more we are seeing the IRRs in the mid-7s going into the mid-8s for the products we are looking at and inside the beltway those are kind of our targeted return. So, while cap rate is something important we do look for yield and we will be assessing that as we look we really are an IRR driven reviewer on the properties.
Jordan Sadler - KeyBanc: And on the other, what do you see in Austin, similar?
Jerry Sweeney: Austin is a little higher I would say the cap rates going in have been pretty good, they have been pretty aggressive. But I think same thing you can see IRRs kind of in the maybe a little higher maybe 8 to 9 again it depends on the property in which market is. I think those are a little dichotomy in some of those markets, especially in the Northwest, you can see those being a little higher, because in Bay Area where if there is going to be growth in building you may see that. So, I think there is a little bit of a higher cap rate or IRR look at the Northwest, but just slightly higher.
Jordan Sadler - KeyBanc: Last one quickly would just be on liability management Howard just kind of curious we have seen you take down I think seller rates some of the redemption some of the notes in the past opportunistically to maybe take term when it’s good to take term maybe to sort of expand on sort of your thoughts on where we are in the cycle now and how you may look at the capital is in that?
Howard Sipzner: Sure, Jordan definitely some near term notes that we are focused on ‘14s, ’15s, ’16s are all in the window so to speak. On a number of those the remaining holders are hold to maturity accounts, so really the only way to get some of that debt back might be may call is that’s quite expensive. We also have a small portion of swapped bank term loans and some floating rate bank term loans those are much more flexible. And as we assess the different possibilities we as Jerry said we could nothing because letting interest rates write for the time being has been the right strategy and we are relatively insulated from rising rates. We could just use some cash to do a variety of activities amongst those different baskets. And I guess the third scenario is we take our cash and we use that with perhaps new issuance to do it even bigger clean up. But again that comes back to the question of where you think rates are going and is it advantageous to go into the market early from an issuance standpoint. And these are all great choices to have.
Jordan Sadler - KeyBanc: What’s your bias I mean it seems to me in the past that you have kind of thought that it’s good to take term, now a little bit and I am just kind of curious what your thought process is on that now let it write is more of a view you guys are espousing?
Howard Sipzner: Look, it’s a three headed coin equally balanced, so depending which way it lands does really know tremendously compelling outcome there unless you start to get a little creative with your future rate assumptions. The one other wildcard in all of this is it’s no secret that our all of our financial and operating management has been towards getting a ratings upgrade moving from BAA3, BBB minus to the next level up to have even better cheaper access to capital. So, as we think about the possible timing of that activity given our recent equity raise and the portfolio improvement that factors into our thinking a little bit as well because the issuances we will be doing will be governed by that rating so that’s a qualitative aspect of the strategy that we try to integrate as well.
Jordan Sadler - KeyBanc: Okay, it’s helpful, thanks guys.
Operator: Your next question comes from the line of Michael Knott with Green Street Advisors.
Michael Knott - Green Street Advisors: I’m here with Michael. Now that you found your share price high enough to issue equity, does that cause the capital signal start to change your stand towards being a net seller and may be – make you want to be more aggressive acquisitions was.
Jerry Sweeney: It looks great, a great question, the – but I think the driving predicates for us to remained the same. I think when we look at our disposition program. It was really driven by a couple of drivers, one was that we are in this process and I think doing fairly well in terms of really a significant upgrade of the portfolio and a big shift to the portfolio to what we think we’ll be much higher growth assets going forward. The best evidence to that I think we talked about in the last call was the shift of 30% of our revenues, a number of years ago, New Jersey down to about 5%. So, there is the strategic real-estate fundamental predicate that really continues to drive our disposition plans. The second driver that was obviously, which I still remained convinced, there are best source of capital is to internally recycle that capital and our best source of proceeds even with the stock pricing moving in the right direction, our best source of proceeds I’m convinced remains selling out of slower growth assets or assets we don’t fit our long-term strategic or tactical plans and using that capital to recycle into higher growth assets. We’re seeing an emergence of some build to suit opportunities. We have as some good developments underway. We’ve acquired some good value-added acquisition that thing much better value add strategy for us to achieve our goals of really being a permitting town center, urban focused company in our marketplaces.
Michael Knott - Green Street Advisors: Okay, thanks. And sort of a related question here is suburban fairly Pennsylvania portfolio is now about 50% Crescent market from 50% non-Crescent in terms of square footage of the call it $3 million square feet outside the Crescent markets today, can you peg how much of that is non-core at this point.
Jerry Sweeney: Well, the next biggest submarket outside the Crescent market is in the King of Prussia northern 202 corner, which is that the bulk of what’s outside the Crescent markets. Anything not in those markets are clearly non-core, we have a number of those projects now in the market down to southern 202, we sold that we still have one building left there to sell. We have some properties up in Blue Bell, which review is non-core, but I think overtime you will see us move out of those markets that the market that we are continuing to tract very carefully is that King of Prussia northern 202. That market is typically been the second market to recover after the Crescent market is getting incredibly tight. We now have occupancy levels not just of anyone, but market wide in (indiscernible) Plymouth Meeting, well above 90%, you are seeing a demonstrated consistent rank growth in those markets, a number of tenants are now focusing on King of Prussia. So, we would expect to see pretty strong performance at King of Prussia over the next 4 to 8 quarters and that will determine what we think the ultimate value proposition for those markets, but right now the focus is on the Southern 202 kind of Great Valley, Blue Bell markets to liquidate our positions here over the next couple of years.
Michael Knott - Green Street Advisors: Okay, great and just last one quick housekeeping item that, do you have with the quarter retention rate would be – without being some of it.
Jerry Sweeney: We’re trying to capitalize that.
Michael Knott - Green Street Advisors: But no worries, we can do it, I can really understand.
Jerry Sweeney: Okay, great, thank you very much.
Michael Knott - Green Street Advisors: Thanks.
Operator: Your next question comes from the line of Mitch Germain with JMP.
Mitch Germain - JMP: Good morning, guys.
Gerard Sweeney: Good morning, Mitch.
Mitch Germain - JMP: Just starts on the dividend as you move to more of a stabilized occupancy in the portfolio.
Jerry Sweeney: Well, I think, we talk about some previous calls the – we like the fact that we are retaining cash today, it’s a good part of our business plan. The cad ratio this quarter was very strong, I think as Howard outlined we are expecting a pretty good cad payout ratio for the balance of ’13. I think is the board contemplates the dividend policy. We are very, very focused on making sure that we have extraordinarily good visibility on our first rollover and retention rates. So, one of the reason we obviously spend a lot of time in our ’14 and ’15 rollover is around 24 months in advance to that. We have very clear visibility on our capital run rate. So, we can with high degree of certainly project out with our cad cash flow will be. The – we set the program that we wanted to have our, cad payout ratio consistently below 80%, but frankly Mitch, the lower to better for us so, we don’t have any current plans to increase the dividend, but I’ll tell you the trend lines are very encouraging certainly the board is very focused on what those trend lines are. We reviewed every quarter with them and I do think that it is the portfolio continues to perform we need our occupancy in pre-leasing goals if capital cost continue to maintain their current run rate in the 225 to 275 range that certainly something on the radar screen over the next year or so.
Mitch Germain - JMP: And it seems like you guys are in the early innings of this co-investment vehicle that you are out marketing, is this going to be regional specific and you guys expect to maintain a minority or maybe a 50% interest, any color around that at this point?
Jerry Sweeney: Well, I think we would expect it to be our investment vehicle for Austin, Texas. The ownership stake we maintained will be a – surely a function of pricing and structure. I think the Allstate venture that we have is a 50-50 venture. We have defined rights Allstate is a great partner for us in terms of co-underwriting a response time in reacting to market offerings looking for those same elements in our new partner. But the actual ownership stake we keep is the promote structure, all of that is going to be a function of point of entry pricing as well as the amount of capital that the partners willing to comment.
Mitch Germain - JMP: Thanks.
Jerry Sweeney: You are welcome.
Operator: Your next question is a follow-up from the line of Brendan Maiorana with Wells Fargo Advisors.
Brendan Maiorana - Wells Fargo Advisors: Thanks. George, sorry if I missed this, but the 729,000 square feet of signed not yet commenced leases, how much of those are expected to commence in 2013?
Jerry Sweeney: 556,000.
Brendan Maiorana - Wells Fargo Advisors: Okay, great. And then this is probably for Howard, but for whoever same-store was benefited this quarter from a significantly lower straight line rent adjustment, it was probably about 2250 basis points that you guys were significantly higher on same-store NOI, but as I look at the straight line adjustment last year, it went down pretty nicely in the second quarter and then continued to get lower in the third and fourth quarters? Is it going to become challenging to sort of keep same-store at the high end of guidance given that you get less benefit of cash rents currently versus last year?
Howard Sipzner: Yeah, I mean, we are currently programming for 2013, so I am assuming the claims quarter-to-quarter in the straight line rents, so once you line that up with what we had in ‘12 could continue to be favorable, and candidly that’s why the same-store growth rate for the full year for cash is 100 basis points higher than for GAAP. We are going to benefit from generally speaking declining non-cash revenue. So, that’s in the plan.
Brendan Maiorana - Wells Fargo Advisors: So, Howard, if I sort of read your comments correctly and think about where you guys were in the quarter, you are above the high end of your range by a little bit, but above the high end of your same-store range. And if you expect that cash rents continue to get better in ‘13 do you feel like you are likely to trend at the high end of kind of the guidance range, even you kept it the same?
Howard Sipzner: One can only hope but it’s too early to tell.
Brendan Maiorana - Wells Fargo Advisors: Right.
Howard Sipzner: Maybe a lot of timing factors and last minute details on deals and just too early to tell. That’s why there is a range.
Brendan Maiorana - Wells Fargo Advisors: Alright, fair enough, thanks.
Operator: And your next question comes from the line of Bill Crow with Raymond James & Associates.
Bill Crow - Raymond James & Associates: Good morning guys.
Jerry Sweeney: Good morning Bill.
Bill Crow - Raymond James & Associates: Jerry, with the invest with Toll Brothers, with Campus Crest, the retail development, the complementary retail development that you announced, what is your interest level in continuing to invest outside of your core office properties within those core markets of 1 billion DC in those areas?
Jerry Sweeney: Okay. Bill, on the – I will take last piece first. On the retail piece, this is a piece of ground that we owned the front door to ride in your financial center. And the retail size is only – it’s just an 18,000 square foot amenity based one-storey retail building. So, that’s very sight specific and very complementary to our existing tenant base. And it was not of a sufficient scale that we felt we need to joint venture that with the development in other residential or retail development company. On the Toll and Campus Crest venture, I mean, remember the driver there was existing land holdings and us monetizing or contributing whatever term you want to apply to it to create a near-term value driver for us. So, I think one of the things that we are very mindful of is that market shift and where we thought that a piece of ground could be helped for office, but there maybe a higher and better use for it today. We do have a number of other pieces of ground where we have gone through the rezoning process and we are simply marketing those pieces of ground for outright sale because we don’t think they add a lot to our existing land holdings or exiting office tenant base. But there is clearly a movement towards mixed use communities, live work and play environments mass transit served and that’s clearly where this company is going. So, we would anticipate that as some of these larger scale opportunities present themselves that we would be in a position to venture with other high quality organizations to create value for us as we deploy existing land holdings or land holdings in close approximately to a key asset of ours.
Bill Crow - Raymond James & Associates: Great second question on the total investment strategy for Austin, I am not sure how much you will say about this but this is essentially eliminates what has been much speculated upon an asset trade with parkway?
Jerry Sweeney: Well, I am not sure there has been a lot of speculation that’s reached our desk, but maybe another world. Look there, we had been approached over the last couple of years by a number of companies that have assets in Philadelphia who may have other operations outside of Philadelphia with the concept of a swap. We are always open to those discussions. We have done swaps in the past and they have been very effective for us. I don’t think anything is precluded under scenario. There are a number of other public companies and big private firms that own assets in some of our core growth markets that we continue to have dialogue with them on a number of fronts. But for any type of trade to work it has to work for both parties. And I think as we look at our asset base in Austin there is some tremendous growth opportunity there and we thought our best interest to create as broad base to marketing campaign as possible to get a clear indication we thought value us.
Bill Crow - Raymond James & Associates: Okay. Thank you.
Operator: And your next question comes from the line of Rich Anderson with BMO Capital Markets.
Rich Anderson - BMO Capital Markets: Bill asked good questions so I am going to follow-up on that one. Is it possible that you are pattern in Austin could be another REIT and if so would you be willing to allow them to be more on the operating side and you on the financial side or do you want to maintain control of those assets through your co-investment strategy?
Jerry Sweeney: That’s another good question. The – look I think from our standpoint and I don’t mean to be quiet but please respect that we are in the marketing process. We have yet to receive bids. Our objectives are really clear, it’s to take advantage of real strong market pricing, optimize current value and create a co-investment vehicle to significantly consolidate fragmented ownership in that market. We like that market. It’s got great demand drivers. We do have a very local team. Our approach in terms of management and partnership arrangements has always been flexible has always been geared towards in the best result. Certainly that’s evidenced by what we have done with Toll Brothers or Campus Crest and Harrison Street I mean we sit down at the table and try and figure out what works best to create the best value in the most efficient manner and that often involves the division of responsibilities, different skill sets being bought to the table. So, we are completely open to what the market presents back to us, not just on Austin but in a lot of our other undertakings as well. I just think that markets are dynamic enough. No one company has all the answers. There are tremendous other talented people out there at other companies and we look forward to getting in bids on Austin and some of the other things that are on the table to see what creates the best financial picture and profitability for Brandywine.
Rich Anderson - BMO Capital Markets: Excellent. Thanks Jerry.
Operator: And there are no further questions at this time Mr. Sweeney are there any closing remarks?
Jerry Sweeney - President and Chief Executive Officer: The only closing remark is to thank everyone for their participation in the call. We look forward to continued execution during 2013 and updating you on our next call on the second quarter. Thank you very much.
Operator: Thank you. This concludes Brandywine Realty Trust first quarter earnings conference call. You may now disconnect.